Arnold Donald: Good morning, everyone, and welcome to our business update conference call. I'm Arnold Donald, President and CEO of Carnival Corporation & plc. Today, I'm joined telephonically by our Chairman, Micky Arison as well as David Bernstein, our Chief Financial Officer; and Beth Roberts, Senior Vice President, Investor Relations. Thank you all for joining us this morning.
 Now before I begin, please note that some of our remarks on this call will be forward-looking. Therefore, I must refer you to the cautionary statement in today's press release. We are absolutely thrilled to be back doing what we do best, delivering amazing, memorable vacation experiences to our guests. Our team members are overjoyed to be back on board and it shows, our guests are having a phenomenal time.
 Our onboard revenues for guests are off the charts, and our Net Promoter Scores have been exceptionally strong. I've had the pleasure of visiting a number of ships in recent weeks, both here in the U.S. and abroad. And I can tell you, the ships look spectacular, and the crew has an amazing energy. There is such an incredible spirit on board. Our protocols have been working well, beginning with a seamless embarkation experience and have enabled us to build occupancy levels at a significant pace as we return more ships to service.
 Our brands executed extremely well in this initial phase of our return to serve, particularly given significant restrictions on international travel, hampering our ability to offer our normal content risk deployment options as well as the operating requirements in certain jurisdictions that limit our normally high occupancy levels. 
 Now our itinerary planners came up with creative deployment alternatives, our marketing department made them accessible with little investment. Our yield managers price them appropriately to achieve occupancy targets very close to them and coupled them with bundled packages to drive exceptionally strong revenue on board. And despite all the additional protocols, our crew delivered an amazing guest experience. The combination of which enabled us to deliver cruise vacations at scale while producing significant cash from these restricted voyages.
 Now while we normally don't disclose this level of information, we try to find a way to give you a sense of why we're viewing the restart is hugely successful beyond the enthusiasm of our guests and crew and the unprecedented Net Promoter Scores. It became complicated because most of our voyages, while cash flow positive are programs that could not be compared to 2019. And in most cases, would normally be priced lower than the 2019 alternatives. So for example, in the U.K., we're only able to offer senior cruises without any ports of call, and that's our version of vacation, on which we're not comparable in ticket prices to peak season Mediterranean or Baltic sailings offered in the summer of 2019.
 That said, even with occupancy limitations, these cruises generated cash for our stakeholders. They supported a return for our workforce, and they successfully serve guests, resulting in high satisfaction levels.
 Now at Carnival Cruise Line, where we were able to offer more comparable itineraries for 2019, our revenue per diems were up 20% compared to 2019 and that's inclusive of the impact of incentives from previous cancellations, and that's despite the close-in nature of the bookings. In fact, Carnival Cruise Lines restarted more ships out of the United States than any of the cruise brand and still achieved occupancy above 70%, all of which combined to generate an even greater cash contribution.
 Clearly, Carnival Cruise Line is a brand that continues to outperform. While the Delta variant and its corresponding effect on consumer confidence has certainly created a myriad of operating challenges for us to navigate in the near term and has lasted some booking volatility in August.
 To date, it has not had a significant impact on our ultimate plan to return our full fleet to guest operations in the spring of 2022. On our last quarterly business update, we said that we expected the environment to remain dynamic and it certainly has. Of course, agility has been a key strength of ours over the last 18 months, and we continue to aggressively manage to optimize given this ever-changing landscape. 
 In fact, while by design, we're not yet at 100% occupancy, we have individual sailings with over 4,000 guests. To date, we have carried over 0.5 million guests this year already. And on any given day, we are now successfully carrying around 50,000 guests, and expect that number to continue to rise as we introduce more capacity and as we increase occupancy over the coming months.
 The Delta variant has clearly impacted our protocols, which will continue to evolve based on the local environment. In markets like the U.S., where case counts are higher, we've taken swift actions to reinforce our already strong protocol, such as additional testing requirements and indoor mask requirements with all U.S. sailings operating under the CDC's vaccination requirements. Our protocols go above and beyond the terms of the conditional sail order and are much more rigorous than comparable land-based alternative. Again, our highest responsibility and therefore, our top priority is always compliance, environmental protection and the health, safety and well-being of everyone, our guests, the people and the communities we touch and serve and of course, our Carnival family, our team members shipboard and shoreside.
 The Delta variant has also created some disruption in our supply chain, impacted the timing of opening for some destinations and created a heightened level of uncertainty that has been reflected in the broader travel sector and in our own booking trends. We quickly adjusted our deployment to push out the start date on a few select voyages. For some of our more exotic winter deployments like our popular world cruises, we rebooked guests for our 2023 departures. Effectively, we've managed our near-term capacity to optimize the current environment. Yes, as we indicated we would.
 The modifications we've made to the pace of the role of our fleet will optimize our cash position in the near term. Looking forward, we continue to work towards resuming full operations in the spring, in time for our important summer season where we make the lion's share of our operating profit. Of course, we have ample liquidity to see us through to full operation. And we continue with a prudent focus on cash management to ensure we have flexibility under a multitude of scenarios. The current environment, while choppy, has improved dramatically since last summer, and it should improve even further by next summer if the current trend of vaccine rollout and advancements in therapies continues.
 For instance, in markets like the U.K., where vaccination rates are already higher, consumer confidence remains strong, and we are seeing strong momentum. So far, we've announced the resumption of guest cruise operations for 71 ships through next spring, and that's across 8 of our 9 brands. We're evaluating the remaining ships through next spring, with a continued focus on maximizing future cash flow while delivering a great guest experience in a way that serves the best interest of public health.
 Importantly, even at this very early stage of our rollout, our ships are generating positive cash flow. Based on our current rollout, we expect cash from operations for the whole company to turn positive at some point early next year. Looking forward, we believe we have the potential to generate higher EBITDA in 2023 compared to 2019, given despite our modest growth rate, additional capacity and our improved cost structure. As further insight into booking trends, we are well positioned to build on a solid book position and intentionally constrained capacity for the remainder of 2021 and into the first half of 2022.
 With the existing demand and limited capacity, we are focused on maintaining price. Even recently with heightened uncertainty from the Delta variant affecting travel decisions broadly, we continue to maintain price. We have also opened bookings earlier for cruises in 2023, and we're achieving those early bookings with strong demand and good prices. And based on that success, we've begun to launch 2024 sailings even earlier. In fact, these efforts contributed to the $630 million increase in guest deposits. Our long-term guest deposits, and that's deposits on bookings beyond 12 months are 3x historical levels, driven in part by our proactive efforts to open more inventory for sale in outer years. Now we expect guests deposits to continue to grow through the restart as we return more ships to service and as we build occupancy levels.
 Again, these favorable trends continue despite dramatically reduced advertising expense. We continue to focus our efforts on our lower cost channels like direct marketing to our sizable past guest database of over 40 million guests. And earned media as we build on our multiple new ship launches and restart news flow. Of course, and most importantly, we are delivering on our guest experience. Word-of-mouth remains the #1 reason people take their first cruise. And as I mentioned, our Net Promoter Scores are well above historical levels across our ships that have returned to service so far.
 During the quarter, we furthered our strong track record of responsibly managing the balance sheet. We completed 2 refinancing transactions, among other efforts, resulting in a meaningful reduction in annual interest expense. We have many more opportunities for refinancing ahead and are working through them at an aggressive pace. Also importantly, we have continued to make advancements in our sustainability efforts.
 Last week, we published our 11th Annual Sustainability Report, Sustainable from Ship to Shore, which can be found on our sustainability website www.carnivalsustainability.com. In the report, we build on the achievement of our 2020 goal by sharing more details on our 2030 goals and our 2050 aspiration. The report shares additional light on the 6 focus areas that will guide our long-term sustainability vision, including climate action, circular economy that waste reduction, sustainable tourism, health and well-being, diversity, equity and inclusion and biodiversity and conservation. Now these areas align with United Nations' Sustainable Development Goals.
 Climate action is a top sustainability focus area. We are committed to decarbonization, and we aspire to be carbon neutral by 2050. As we have previously shared, despite 25% capacity growth since that time, our absolute carbon emissions peaked in 2011 and will remain below those levels. We are working towards transitioning our energy needs to alternative use and investing in new low-carbon technologies. Now because of the pause in guest cruise operations, the 2020 sustainability performance measures are not comparable to prior year data. That said, there is a lot of valuable information on the progress we've made in our sustainability journey despite what was an incredibly challenging year.
 We were clearly among the most impacted companies by COVID-19, and I'm very proud of all we've accomplished collectively to sustain our organization through these challenging times, including all we did for our loyal guests, all we did for our other many stakeholders and all we did for each other within our Carnival family.
 In many regards, I believe our collective response to the pandemic is strong testimony to the sustainability of our company. For that, I again express my deepest appreciation to our Carnival team members, both shipboard and shoreside who consistently went above and beyond. I'm very humbled by the dedication I've seen in these past 18 months. Of course, we couldn't have done it without the overwhelming support from all of you who are listening on this call, all of our stakeholders. So once again, thank you to our valued guests. Thank you to our travel agent partners. Thank you to all the many communities and governments that facilitated getting our crews vaccinated. Thank you to our suppliers and our other many stakeholders. And of course, thank you to our investors for your continued confidence in us and for your ongoing support.
 We continue to move forward in a very positive way. Throughout the pause, we've been proactively managing to resume operations as an even stronger operating company. Our strategic decision to accelerate the exit of 19 ships left us with a more efficient and effectively and has lowered our capacity growth to roughly 2.5% compounded annually from 2019 through 2025, and that's down from 4.5% pre-COVID. We've opportunistically rebalanced our portfolio through the ship exits as well as a future ship transfer, any modification to our new build schedule to optimize our asset allocation, maximize cash generation and improve our return on invested capital.
 While capacity growth is constrained, we will benefit from an exciting roster of new ships spread across our brands, enabling us to capitalize on the pent-up demand and drive even more enthusiasm and excitement around our restart plan. And we will achieve a structural benefit to unit costs in 2023 as we introduce these new larger and more efficient ships coupled with the 19 ships leaving the fleet, which were among our least efficient with the aggressive actions we've already taken, optimizing our portfolio and reducing capacity.
 We are well positioned to capitalize on pent-up demand and to emerge a leaner, more efficient company, reinforcing our global industry-leading position. We have secured sufficient liquidity to see us through to full operation. Once we return to full operation, our cash flow will be the primary driver to return to investment-grade credit over time, creating greater shareholder value. Again, thank you for your support, and we can't wait to welcome everyone back on board.
 With that, I'll turn the call over to David. 
David Bernstein: Thank you, Arnold. I'll start today with a review of our guest cruise operations along with our third quarter monthly average cash burn rate. Then I'll provide an update on booking trends and finish up with some insights into our refinancing activity.
 Turning to guest cruise operations. It feels so great to be talking about operations again. We started the quarter with just 5 ships in service. During the third quarter, we successfully restarted ships across 8 of our brands. We ended the quarter with 35% of our fleet capacity in service. Our plans call for another 27 ships to restart guest cruise operations during the fourth quarter and the month of December.
 So on New Year's Day, we anticipate celebrating with 55 ships or nearly 65% of our fleet capacity back in service. For the third quarter, occupancy was 54% across the ships in service. Our brands executed extremely well. Occupancy did improve month-to-month through the quarter and in the month of August, occupancy reached 59% from 39% in June and 51% in July. Occupancy for our North American brands reflects our approach of vaccinated cruises which for the time being, does limit the number of families with children under 12 that can sail with us.
 Occupancy for our European brands reflects capacity restrictions such as social distancing requirements for our Continental European brands and a 1,000-person cap per sailing for some of the quarters in the U.K. For the full third quarter, our North American brands occupancy was 68%, while for our European brands, occupancy was 47%. Revenue per passenger cruise day in the third quarter 2021 increased compared to a strong 2019 despite the current constraints on itinerary offerings which did not include many of the higher-yielding destination-rich itineraries offered in 2019.
 As Arnold indicated, our guests are having a phenomenal time and our Net Promoter Scores have been incredibly strong. As always, happy guests seem to translate into improved onboard revenue. Our onboard and other revenue per diems were up significantly in the third quarter 2021 versus the third quarter 2019, in part due to the bundled packages as well as onboard credits utilized by guests from cruises canceled during the pause. We had great growth in onboard and other per diems on both sides of the Atlantic. Increases in bar, casino, shops, spa and Internet led the way on board.
 Over the past 2 years, we have offered and our guests have chosen more and more bundled package options. In the end, we will see the benefit of these bundled packages in onboard and other revenue as we did during the third quarter 2021. As a result of these bundled packages, the line between passenger ticket revenue and onboard revenue seems to be blurring. For accounting purposes, we allocate the total price paid by the guests between the 2 categories. Therefore, the best way to judge our performance is by reference to our total cruise revenue metrics. As we previously guided, the ships in service during the third quarter were in fact cash flow positive. They generated nearly $90 million of ship-level cash contribution. This was achieved with only a 2-month U.S.-based restart during the third quarter as our North American brands began guest cruise operations in early July.
 We expect the ship-level cash contribution to grow over time as more ships return to service and as we build on our occupancy percentages. For those of you who are modeling our future results, I did want to point out that due to the cost of a portion of our fleet being in pause status during the first half of 2022, restart-related expenses and the cost of maintaining enhanced health and safety protocols, we are projecting ship operating expenses in 2022 for available lower berth day or per ALBD as it is more commonly called to be higher than 2019 despite the benefit we get from the 19 smaller, less efficient ships leaving the fleet.
 Remember, that because a portion of the fleet will be in pause status during the first half, we are spreading costs over less ALBDs. We do anticipate that most of these costs and expenses will end with 2022 and will not reoccur in fiscal 2023.
 Now let's look at our monthly average cash burn rate. For the third quarter 2021, our cash burn rate was $510 million per month, which was better than our previous guidance and was in line with the $500 million per month for the first half of 2021. The improvement versus our guidance was due to the timing of capital expenditures, which are now likely to occur in the fourth quarter and some other small working capital changes.
 With the timing of certain capital expenditures now shifting to the fourth quarter, the company expects its monthly average cash burn rate for the fourth quarter to be higher than the monthly average rate for the first 9 months of the year.
 Other good news positive factors impacting the fourth quarter are restart expenditures to support not only the 22 ships that will restart during the fourth quarter but also the additional ships that will restart in the first quarter of 2022, along with the significant increase in dry dock days during the fourth quarter, driven by the restart schedule. All these expenditures have been anticipated and given the announced restarts many of them are now occurring in the fourth quarter.
 Also, during the fourth quarter, we are forecasting positive cash flow from the 50 ships that will have guest cruise operations during the quarter. And ALBDs for the fourth quarter are expected to be 10.3 million which is approximately 47% of our total fleet capacity.
 Now turning to booking trends. Our booking volumes for the all future cruises during the third quarter 2021 were higher than booking volumes during the first quarter. That trend continued over the first couple of months of the third quarter such that we expected the third quarter would end at higher booking levels than the second quarter, but we did manage to achieve that because of lower booking volumes in the month of August when the Delta variant impacted travel and leisure bookings generally. The impact on bookings in August was mostly seen on near-term sailings. However, the impact quickly stabilized in the month of August. And in recent weeks, we have started to see a welcome uptick in booking volumes.
 Our cumulative advanced book position for the second half of 2022 is ahead of a very strong 2019 and is at a new historical high. Pricing on our second half 2022 book position is higher than pricing on bookings at the same time for 2019 sailings driven in part by the bundled pricing strategy for a number of our brands, but excluding the dilutive impact of future cruise credits or more commonly known as FCCs.
 If we were to include the dilutive impact of future cruise credits, pricing on our second half 2022 book position is now in line with pricing at the same time for 2019 sailings. This improved position is a result of positive pricing trends we have seen during the third quarter. This is a great achievement given pricing on bookings for 2019 sailings is a tough comparison as that was the high watermark for historical yield.
 Finally, I will finish up with some insights into our refinancing activity. We are focused on pursuing refinancing opportunities to extend maturities and reduce interest expense. Today, through our debt management efforts, we have reduced our future annual interest expense by over $250 million per year. And we have completed cumulative debt principal payment extensions of approximately $4 billion, improving our future liquidity position. 
 The $4 billion extension results from 3 things: first, the July refinancing of 50% of our first lien notes were $2 billion. Second, the completion of the European debt holiday amendments, which deferred $1.7 billion of principal payments. The deferred principal payments will instead be made over a 5-year period beginning in April 2022. And third, the extension of a $300 million bilateral loan with one of our banking partners. As we look forward, given how support of the debt capital market investors and commercial banks have been, we will be pursuing additional refinancing opportunities to meaningfully reduce our interest expense and extend our maturities over time.
 And now I'll turn the call back over to Arnold. 
Arnold Donald: Thanks, David. Operator, please open the call for questions. 
Operator: [Operator Instructions] And our first question is from the line of Steve Wieczynski with Stifel. 
Steven Wieczynski: So Arnold, in your prepared remarks, you -- I think I heard this right, but you talked about how you're expecting 2023's EBITDA should be higher than 2019's EBITDA. And look, I understand there's new net capacity in there that's going to help drive part of that EBITDA. But can you also help us maybe think about at a higher level, what some of your longer-term assumptions are in order to get that EBITDA level, meaning, how are you guys thinking about whether it's the pricing environment, load factors? Anything else you would point out that could kind of bridge that gap? 
Arnold Donald: Sure. I'll make some comments and then give David a chance as well. By '23, again, if things continue to trend the way they're going, we should have the full fleet out. We'll have, as you mentioned, additional capacity with these exciting new ships, more efficient. We've got some cost infrastructure improvements. We're coming out leaner and with better cost structure. We're more efficient on the ships, both from a fuel standpoint as well as an operating standpoint.
 In addition to that, we expect to be back at occupancy levels more comparable to historical or potentially even better given the fact that while there will be some capacity growth at that point in the industry, it's going to be well below the capacity growth that would have occurred absent the pandemic. Go ahead, David, any additional comments? 
David Bernstein: Yes. I'd just point out a few things. So the 19 ships -- between the 19 ships that left the fleet, which Arnold indicated, are smaller, less efficient ships and all the new capacity coming in, we certainly have a much richer cabin mix on board the vessels. There's -- I think we had indicated the cabin -- the balcony cabin mix was about 6 percentage points higher. So that does give us the opportunity to generate more revenue.
 The combination of the ships we said before, those leaving the fleet and the new builds give us a unit cost at the ship operating level, a 4% reduction. On the fuel consumption, just the change in the fleet that I described is 3%. In total, it is a 10% capacity increase net of the ships that left the fleet. So with all of the pent-up demand and all of the things, the revenue management things, the bundle packages that we're offering, which is driving onboard revenue. And everything else we're doing, we feel, as Arnold said, that we have the opportunity for stronger EBITDA in 2023 compared to 2019. 
Steven Wieczynski: Okay. Great. That's great color. And then second question, as we start to think about 2022, is there any way for you to help us think about how '22 is sold at this point? I guess what I'm trying to understand is how much of your capacity is actually available for sale at this point? And then how you think about opening up more capacity for '22 without ultimately impacting your pricing ability? 
David Bernstein: So... 
Arnold Donald: Go ahead, David. 
David Bernstein: Yes. No, happy to. So for all intents and purposes, I think in most cases, we have announced the restart date for 71 ships out of the 95 that will be in the fleet in the spring of 2022. But even those ships where we have not announced the restart date in most cases, we have cleared the inventory for the dates that we don't expect to sail. And we are only selling at this point, the dates that we do anticipate sailing. 
 We just have not made the formal announcement on the remaining 24 ships. But those will be forthcoming in the days and weeks ahead. So what is out there today, more or less, give or take, there may be some changes a little bit on the margin, but more or less what's out there today is what we're selling. We talked about the back half of the year being at a new historical high in terms of the book position. And we were very pleased with that. People are booking further out. And so we're seeing the benefit of that.
 The first half of the year, the only reason we didn't give a detailed year-over-year comparison of '22 versus '19 is because it is a bit of an apples and oranges comparison. While we are very pleased and look at the first half of the year and for the voyages that we're selling, we feel they're at the high end of the historical booking curve. The reason for the apples and oranges comparison is in the first half, we're not running most of the world cruises and all the long exotic voyages. And they tend to book much further out because they're much longer. So if we gave you the numbers, it would be an apples and oranges comparison. But it is fair to say that we feel very comfortable with the pricing and the book position for the first half of 2022. 
Arnold Donald: But Steve, as I said in the prepared comments, we will have -- we're planning to have the full fleet on in time for the summer season where we make the bulk of our profits. So for the second half of '22, we're looking to be in full force. Go ahead, David, you have another comment? 
David Bernstein: Steve, if you just -- we -- 47% of our capacity will be sailing in the -- our capacity will be sailing in the fourth quarter. We end the calendar year we said with nearly 65% of our capacity.
 So during the first half of the year, we're going to go from somewhere around 60% on December 1, up to 100% at the end of the first half. So you can begin to see that the first half of the year is going to be somewhere in between that depending on the exact ramp-up of the capacity. 
Steven Wieczynski: But to be clear, so if -- I'm going to make this up. So let's take a random -- let's take the Carnival Conquest, I'm going to make a ship up here. For the second half of next -- let's look at the second half of next year, are you selling 100% of that capacity today? Or are you still kind of holding back some of that capacity because you don't want to try to get up to that 100% level? And hopefully, that makes sense. 
David Bernstein: No, we're not for future voyages out there because, obviously, we're nowhere near selling out yet. Obviously, if we did, we would have underpriced it. We're not restricting the capacity that we're selling for the back half of 2022. There's no reason to it. 
Operator: Our next question is from the line of Robin Farley with UBS. 
Robin Farley: I wanted to clarify your commentary on the expenses. I know you mentioned some expenses next year, obviously, would not be recurring the capacity out of service, the restart costs. And then maybe the piece that it is would be the enhanced protocols. So if you looked at only the period where everything is operating and so the restart expense would not be in there and the burn of ships out of service.
 For that period forward, and then I guess this would also mean for 2023, is it fair to say that your expense per passenger cruise day would be below 2019 levels when you exclude those sort of onetime restart costs? 
David Bernstein: Well, so... 
Arnold Donald: Where I get -- go ahead, David. It's okay. Go ahead. 
David Bernstein: So when you exclude all of those costs and look into 2023, I mean, we had indicated that the benefit of the change in fleet was on the ship operating expenses was 4% per ALBD. We also have found efficiency shore side as well. And so there are cost efficiencies that we have. We're also -- as the whole world is, we are seeing some inflation. We're working hard to mitigate all of that inflation. 
 We don't see it nearly as much as people in the United States in terms of the labor, given our employment base comes from nearly 150 countries around the world on board our ships. So we have a much more of an opportunity there. And so we're working hard, but I'd be hesitant to give guidance on 2023 cost structure. I think it's just fair to say to give you all the pieces that are out there and then we'll give guidance as we get closer. 
Robin Farley: Okay. Okay. No, that's helpful. So would you venture whether for 2022, whether the shoreside efficiencies would offset the inflation and enhanced protocols just for '22, if you exclude the -- if you get past the restart expenses? 
David Bernstein: Yes. I'd be hesitant to give guidance at this point. Clearly, the short side efficiencies will flow through. And since we're still working through all of the details relating to and sourcing and making changes and mitigating some of the inflationary costs. I'd be hesitant to give guidance. But you can be sure that we've got people focused on those items to optimize the situation. 
Robin Farley: Okay. Great. Helpful. And then my other question is just to clarify the commentary on price for next year. If we're just looking at the second half when it's a little more comparable. And then you said, excluding the future cruise credit discounts, the pricing is about in line with 2019 levels. I just want to make sure I understood when you gave your earlier commentary about how there is more bundling now. So more of what is being booked now for second half compared to 2019. Has more of sort of some of the onboard expense, right, kind of in the ticket price because of the bundling, if I'm understanding your comments right? And so I guess, I just want to clarify, when you are seeing price in line with 2019, is that sort of you have -- that after you've allocated some of the bundled ticket price on board? Or -- and then sorry, I guess I'm just trying to think about how comparable... 
David Bernstein: Yes. We've tried to normalize it and do some level of allocation to be an apples-to-apples comparison. 
Operator: Our next question is from the line of Ben Chaiken with Credit Suisse. 
Benjamin Chaiken: Risk of getting overly granular, but I'll try it anyway. If you think about the profitability of the ships, if you think about the profitability of the ships coming online and your new capacity, over the next couple of years or whatever next 2 or 3 years? And then compare that to the remaining legacy fully, obviously, excluding the 19 disposed of ships. Is there any way to ballpark compare those 2 kind of like sets of assets, whether it's margins, EBITDA, revenue premiums, like that's something that's anecdotally talked about in the industry, but that didn't make sense. I can try it differently or we can take it offline. 
Arnold Donald: No. We have rules of thumb about the overall benefit of new ships relative to the fleet. So, David, you might want to... 
David Bernstein: From a cost perspective, if you just look at the unit cost for the -- our new ships coming in, they tend to be 15% to 25% lower on a unit basis than the existing fleet.
 And from a fuel consumption perspective, we're talking more like 25% to 35% more fuel efficient on a unit basis. So we do see the enhanced profitability. And when you start adding in, of course, the better cabin mix, the more opportunity for onboard revenue because there are more -- there's more public space in the larger ships. So all of that does bode well for an improved return on the new ships versus the existing fleet. 
Operator: Our next question is from the line of Jaime Katz with Morningstar. 
Jaime Katz: Now the ships are starting to be deployed, do you have a little bit more visibility on CapEx demands over the next year or 2 that you'd be willing to share with us? I mean, I know we have the cash burn, but it would be helpful to hear the difference between maybe CapEx and OpEx going forward. 
David Bernstein: Yes. We can share with you our CapEx projections without a doubt. So looking at 2022, and I'll give you the 2 pieces of CapEx. The non-new build CapEx, we're projecting about $1.5 billion and the new build is $4.5 billion. So it's about $6 billion in total. Keep in mind, remember that most of the new build is financed with the export credits that are already committed.
 In 2023, the non-new build, we're forecasting about -- also about $1.5 billion, and the new build is $2.7 billion for a total of $4.2 billion. So we are expecting an increase in CapEx in '22 and '23 from where we are today in '21. But we're not expecting to go back. Pre-COVID, we had probably indicated a sort of a steady state CapEx of, call it, $2 billion, non-new build CapEx. And we do believe we'll probably get back there at some point in the future. But in the next 2 years, our best guess at this point is about $1.5 billion. 
Jaime Katz: Okay. And then just going back to Robin's question on bundling. I'm curious whether you guys are thinking that the bundling behavior is something that's more secular. So over time, it's going to remain that the pricing component is less important than it was historically and that the onboard component is more important than it was historically. And I'm not sure if there's anything to read into that, but I don't know if it's a new secular trend or transitory? 
Arnold Donald: Yes. Again, I think we have 9 brands. There's a lot of variability across the brands. And so we -- bundling has been around a while. It's not a new thing. But there has been a more recent trend that guests seem to prefer to have certain aspects of their experience bundled. And so there has been an increase in some aspects of that, whether that's an ongoing trend, probably, but we're going to stay flexible and dynamic and give the guests what they want. 
David Bernstein: And I think one is... if i can add to it, Arnold, what are the benefits of the bundle package? I mean it gives the consumer a choice. And any choices you give the consumer creates hopefully, more demand and better pricing in the long run. But keep in mind that when somebody bundles -- when somebody pays for like their drink package and they're in and ahead of time.
 Well, first of all, that, of course, benefits the agent because they get a commission on the whole package. So it definitely does make the travel agents happy. But when the people get on board, they really have a fresh wallet. And because they've already paid for certain items, so they have a fresh wallet, they're starting over again. 
 And we believe that with the fresh wallet, it does incentivize more onboard spend in total. So we would expect our onboards to be higher in the long run as a result of the bundling, and we did see it in the third quarter. I mean the onboard and other per diems were up significantly compared to 2019. And so some of that is the fresh wallet of people getting on board. 
Operator: Our next question is from the line of Assia Georgieva with Infinity Research. 
Assia Georgieva: I think you have been doing a great job and probably very happy to be so busy with restart. So congratulations. I had a -- my question is related -- again, Arnold, I think what you've done has been fantastic. And yes, good luck through the end of the year. My question was a little more in terms of sourcing and destinations. With the ships going back to warmer climates, including the Caribbean during the winter months, do you find any difficulties in terms of getting international passengers, especially from Europe with more stringent entry requirements into the U.S. 
 And secondly, Australia seems to continue to be a wildcard, even though it's a small market, relatively speaking, in terms of the capacity you have there. But it's also a somewhat important market during winter. 
Arnold Donald: Yes. Australia is an important market for certain and the travel restrictions absolutely play a part in terms of what we can do with occupancy ultimately. Now the encouraging sign is things continue to loosen up, things continue to improve. You can see in the U.K. where there's good momentum. They are further ahead on vaccinations, et cetera.
 You're seeing that U.S. recently made an announcement that you're fully aware of letting travelers from Europe come in and starting in November. But all of those things in the near term are impacting us for certain, and they will continue to evolve. Eventually Australia will open. Well, we'll be very excited about that and ready to take full advantage of it. And our team over there is working booking cruises going forward and so on in anticipation that you can see they will open. 
 But the world is just processing itself through this pandemic. And as we said and as I said in the remarks earlier on the prepared remarks, it's choppy, but there's movements forward. And the most important thing is that there is pent-up demand, people are very interested in the cruise experience, not just repeat cruise stores, but we're seeing lots of new to brand and new cruisers booking. And so that's a very positive sign. But we do have to get to the point, and we will get there where it's kind of back to some kind of a normal where people are free to travel. 
David Bernstein: And if I can just add... Let me add some... 
Arnold Donald: Go ahead, David. 
David Bernstein: In terms of your question about Europeans traveling to the United States for the Caribbean winter season, so keep in mind, we have multiple brands. And our European brands, essentially are home porting and other places in the Caribbean. So I don't remember every single home port. I mean, P&O in the U.K., I think home ports out of Barbados and [indiscernible] and other places in the Caribbean. They choose home ports where there's great airlift from their home countries. So most of the Europeans who are coming to the Caribbean are going on our European brands and going somewhere in the Caribbean to embark on their vessel.
 The North American brands, which are sailing out of the United States, the overwhelming majority of their guests are probably North Americans sailing on the board ships in the wintertime. So it's -- travel restrictions are easing. People are starting to be able to come. I won't repeat everything that you probably already know. But it's not as big of an issue for us as -- given the structure of where people start their cruises. 
Assia Georgieva: I think a comporting point that you've made is great, and I should have thought about that. And the second question, your yield management guys are probably working very hard because now they have even more levers to work with. So in addition to trying not to underprice and yet reaching occupancy levels where at the ship board level, at least, we're getting a cash benefit. Has there been any change, any restrictions in terms of occupancy? Or is it more a continuation of what you've been doing for decades trying to get the best price? 
Arnold Donald: We've intentionally restricted occupancy for a host of reasons, some related and -- because, again, the brand's all over the place in terms of jurisdictions. So some just to be in compliance, in some cases, others to give a ramp-up to -- because they have new protocols. We have to get the crew experience with it and experience with the guests to make sure we work on [indiscernible] and some an artifact of the compliance measures, whether it's physical distancing or other requirements. And so at this point, yes, there's been intentional constraint.
 But as we said, where we have like normal cruises in the Caribbean, there's vaccinated cruises, but Carnival brand has been at 70% occupancy, which is fantastic given the number of ships they had in the protocols. And again, we intentionally tapped that. So as we begin to open up more, obviously, the yield management folks will have to sharpen their -- I was going to say pencils but nobody uses pencils anymore, jumping on their keyboards more and go to work on it. But it's -- we have good momentum. It's very disciplined. We have managed the timing of restarts of some ships thinking through these matters. And so it's a very proactive and to date, well managed relaunch giving us an opportunity to have strength in pricing going forward. 
Assia Georgieva: The whole process is obviously well above my pay grade, so I still use pencils. 
Operator: Our next question is from the line of Brandt Montour with JPMorgan. 
Brandt Montour: So David, I was wondering if you could maybe give us your view on how bookings cadence progressed throughout Delta, but just focused on sailings for the second half of '22. And then if there was a wobble at all, how did the industry respond to that in terms of pricing? 
David Bernstein: Yes. So as I said in my prepared remarks, the impact in August of the Delta variant on bookings. It's really much more of a near-term phenomenon in terms of, call it, the next 6 months, maybe 9 months of bookings. The further out you go, it is really hard to even spot or distinguish a Delta variant trend in the booking patterns. So the second half remains strong and throughout the month of August.
 And in terms of pricing, I think Arnold said this in his notes in his prepared remarks, we all believe that the Delta variant would -- we would get past this. And so our view was to maintain price and to make sure that we optimize revenue in the long run, not just bookings during the month of August, we still have plenty of time since we're ahead. We still have plenty of time to fill up the ships to the occupancy levels we're targeting for both the fourth quarter and for the first half of 2022. So we are holding price and we're in a good position. 
Brandt Montour: Excellent. And then as a follow-up, I know you're targeting cash flow -- cash flow from operations breakeven sometimes early in '22, and I know that you didn't give a specific month on that, which we can appreciate. I'm just curious, what are you assuming in that for customer deposit inflows if anything, or it might still be elevated at that time. And so just curious what's baked in for that. 
David Bernstein: Yes. Well, customer deposits at the end of the third quarter were $3.1 million. The last 2 quarters, they did increase. Our expectation is that they will continue to increase. Of course, in a steady-state environment, remember that the overwhelming majority of the customer deposits at any point in time are the final payments for the next 3 months of cruises. So as the capacity for the next 3 months continues to build towards the 100% next spring, you should see an increase in customer deposits over time as you continue to get more and more final payments.
 Keep in mind, like for the fourth quarter, we only have 47% of the capacity in service, so there's only half of probably the final payments that you would see come next May. So you will continue to see an increase driven by that factor. And that should be a positive cash flow inflow to us over that time frame. 
Brandt Montour: Okay. But maybe to ask a different way, do you need elevated customer deposit inflows to breakeven on cash flow from operations in the first half of next year? 
David Bernstein: I'll -- EBITDA will also break even in the early part of 2022. So it's -- I'd give you that hopefully answers your question. 
Brandt Montour: Yes, that's helpful. 
David Bernstein: Correct, in a much more direct way. 
Operator: Our next question is from the line of Stephen Grambling with Goldman Sachs. 
Stephen Grambling: Could you just talk about the pricing and booking dynamics between what you saw on Carnival versus maybe some of the other brands, specifically looking at second half '22 as itineraries normalized? Did you see any difference more recently in close-in bookings that may inform how that trajectory could evolve? 
Arnold Donald: I would say to begin with, we see strength across the branded portfolio and that's very encouraging to us. But go ahead, David, with any specific comments you might want to make. 
David Bernstein: For the back half of '22, I mean, as Arnold said, all the brands are strong, things are going well. It's all the -- we're getting back to sort of a normalized comparison of full breadth of itineraries across the whole fleet. And so we feel very good about that. As I said, the back half of 2022 was at a historical high. And we saw great trends in all brands and on both sides of the Atlantic. So there's nothing particular to note there. Closer in, some of that is just a function of itineraries and marketplaces, but we are seeing good occupancy and across all the brands. I gave you the occupancy figures for the third quarter. Clearly, the European brands had more capacity restrictions in the third quarter.
 The U.K. restrictions go away, but the Continental Europe social distancing restrictions remain at least for part of the quarter. So I -- there's nothing worth noting. I think we're seeing good comparisons and good booking trends across all the brands. There are small differences, but some of that also has to do with itinerary length between the different brands in the marketplaces. 
Arnold Donald: We'll take one last question, operator. Yes, I'm sorry, go ahead. This will be the last question. Go ahead. 
Stephen Grambling: I may have missed this, but I was wondering if you had any way you can quantify the potential kind of sustained structural cost increases that you have from some of the health actions. And as you mentioned, there are some supply chain disruptions. So I'm wondering if you can help frame kind of the level of inflation you may be seeing, whether it's in labor or commodities. 
Arnold Donald: Yes. Real quick, I'll make a general comment. I think from a sustainable cost standpoint, a lot of the protocols, the start-up costs, of course, will go away. Lot of protocol costs will also go away because over time, the protocols won't be required. Once we get to a point where it's only protocol costs, those are in the hundreds of thousands versus per ship versus millions of dollars per ship or whatever. And again, we suspect that those will reduce over time as well. David? 
David Bernstein: Yes. I agree with Arnold. And I will tell you, I'm reluctant at this point to try to peg this because there's so many moving parts and variables and so many things we're working on that when we get closer, we'll have much better clarity, but there's a lot of opportunity out there for us. And you can be sure we're working hard to maximize those opportunities in every way with every supplier and every item we source as well as the labor and other things. So we'll give you more guidance as time goes on, but just recognize, we are clearly focused on this on an ongoing basis. 
Arnold Donald: And thank you, everyone. We really appreciate your support and ongoing interest and we're very excited to be having the results we're having at this point. Thank you so much. 
David Bernstein: Thank you, everyone. Have a.... 
Arnold Donald: Operator? 
Operator: That does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.